Operator: Welcome to KRONOS Worldwide Third Quarter 2011 Earnings Call. My name is Tahitia and I will be your operator for today’s call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. I will now turn the call over to your host, Janet Keckeisen, Vice President of Investor Relations for KRONOS Worldwide. You may begin, Janet.
Janet Keckeisen: Thanks, Tahitia. Good morning and welcome to the KRONOS Worldwide 2011 third quarter earnings call. With me this morning are Steve Watson, Chief Executive Officer; and Greg Swalwell, Chief Financial Officer. The earnings release that was issued this morning can be found on our website at KRONOSww.com During the course of this conference call, we will make forward-looking statements. All statements relating to matters that are not historical facts are forward-looking statements that represent management’s beliefs and assumptions based on currently available information. Although the Company believes that expectations reflected in such forward-looking statements are reasonable, it cannot give any assurance that these expectations will prove to be correct. Such statements by their nature involves substantial risks and uncertainties that could significantly impact expected results and actual future results could differ materially from those described in such forward-looking statements. We assume no obligation to update or revise any forward-looking statements. Please refer to the earnings release for a discussion of some of the factors that could cause actual results to differ materially. In an effort to provide investors with additional information regarding the Company's results of operations, we will refer to certain non-GAAP information. We ask that you refer to the earnings release for a reconciliation of this non-GAAP information to our GAAP financial statements. I will now turn the call over to Steve.
Steve Watson: Thank you, Janet. And welcome to everyone participating on this conference call. In addition to Janet and Gregg, with me today are several members of our management team, Kelly Luttmer, Vice President and Global Tax Director, John St. Wrba, Vice President Treasurer, Tim Hafer, Vice President and Controller and Brian Christian, Vice President Strategic Business Development. I also want to give special recognition to our exceptional operating management team. The leaders of that team Doug Weaver, Dr. Ulfert Fiand, Klemens Schluter and Joe Maas have the knowledge and experience necessary to maximize potential of the KRONOS business and we act effectively to any challenges we encounter. During the years, these leaders have also developed and managed the professionals who will serve our business very well into the future. We are very proud of our organization which has been built with a focus on continuous improvement. As an example, our manufacturing and technical groups have an outstanding record of increasing product capacity and decreasing production costs generally with minimal capital cost and providing a level of superior service to our customers. During the first nine months of 2011, we continued to experience strong global customer demand for TiO2 products. This allowed us to successfully implement further significant selling price increases. Our TiO2 segment profit for the nine months ended September 30, 2011 increased 233% over the same period in 2010 and represents a new record for KRONOS. We believe the global shortage will continue for several years due to the constraints to adding significant new production capacity, especially for TiO2 premium grades produced through the chloride process. Major capacity additions both Brownfield and Greenfield require considerable investments of capital and time. It generally takes two to five years, depending on the project, from commencement of a significant capacity expansion until additional facilities are fully operational. As we have discussed previously, the mere announcement of capacity expansion such as those occurring in the last few months, will not affect the near term production levels and will do little to relieve the longer term shortage of TiO2 products. We expect the supply of TiO2 products to increase through various methods, but we believe the magnitude of such increases will not exceed the expected global demand for TiO2 products in the foreseeable future. The increasing cost and availability of raw materials, in particular the global shortage of ore feedstocks, is also an impediment to capacity expansion. We anticipate the tightness in ore feedstocks supplies to last for at least the next couple of years. As we have previously discussed, an extended period of low profit margins did not foster the investment in and development of ore suppliers that are now needed for an expanding TiO2 industry. The TiO2 industry cannot grow without the expansion of ore suppliers and the ore industry needs the TiO2 industry to grow in capacity and profitability in order to justify its own expansion. We believe that increasing costs at ore will remain in check so not to become a major factor in hindering profit margin expansion in the TiO2 industry, which could in turn hinder TiO2 capacity expansion. Although the ore supplies situation is tight, we believe our long standing relationships with our key suppliers will allow us to continue to have an assured supply of ore feedstocks. We are also partially hedged against ore shortages and cost increases due to our backward integrations. We currently supply 100% of our European sulfate production ore feedstocks from our mines in Norway and sales additional ore production to third parties. Our style of management is from an owner’s perspective. Our focus is to provide the highest total return to our stockholders through the appreciation of the value of our stock and dividend distributions while maintaining strong financial liquidity and strategic position. In conclusion, we can confirm that we continue to believe the anticipated TiO2 industry conditions will result in higher profit margins and cash flows for several years. Gregg will now review our overall financial performance after which we will open the call up for questions.
Greg Swalwell: Thank you, Steve, and good morning to everyone on the call. We achieved record operating results in the third quarter and the first nine months of the year primarily due to the favorable impact of the higher average selling prices for TiO2. We reported operating income or segment profit which is a term that we use in our earnings release of $159.2 million for the third quarter of this year, up from the $58.9 million in the third quarter of last year. For the first nine months of 2011, our segment profit was $409.9 million as compared to $123.2 million last year. Our average TiO2 selling prices in the third quarter of this year were up 41% as compared to the third quarter of last year and our selling prices at the end of the third quarter were 10% higher as compared to the end of the second quarter of this year. For the first nine months of the year, our selling prices were up 37% on a year-over-year basis. As a result of the global shortage of TiO2, we anticipate that our selling prices will continue to increase during the remainder of the year. We continue to operate our plant at near full practical capacity utilization levels and our production volumes for the first nine months of the year were up 4% from the same period last year. Our year-to-date production volume of 409,000 metric tons was a new record for us. As we previously said our ability to achieve additional increases in our production capacity through the bottlenecking projects is limited. Our sales volumes for the first nine months of the year were comparable to our volumes in the first nine months of the year. On the cost side of the equation and as expected, our raw material costs were $17.3 million higher in the quarter and they were $47.9 million higher on a year-to-date basis reflecting higher costs primarily for the feedstock ore and Petroleum Cork. Our maintenance costs were also up slightly a consistent with our higher production levels. Overall we currently expect that our per metric ton of TiO2 will increase from 10% to 15% for all of 2011 as compared to calendar 2010, consistent with our cost expectations that we’ve reflected at the end of the first quarter of this year. Our EBITDA for the quarter was about $170 million, up from $68 million a year ago on a year-to-date basis. Our EBITDA this year was about $443 million as compared to $151 million in the first nine months of last year. Our interest expense for the quarter ended at eight periods was lower primarily due to the first quarter redemption of €80 million principal amount of our Senior Secured Notes that we completed in March 2011and favorable interest rates on our borrowings that were outstanding under the revolver. At the end of September we have no borrowings outstanding other than the Senior Secured Notes. During the third quarter this year, we also purchased in market transactions approximately 30 million Euro principal amounts of our Senior Notes offering an aggregate cost that was slightly less than par value. In addition, during the month of October we purchased in open market transaction an additional €10 million principal amount our notes on similar terms. Our net income for the third quarter was $85.9 million or $0.74 per diluted share, this compares to net income in the third quarter of last year of $32.1 million or $0.33 per diluted share. For the first nine months of the year, net income was $235.2 million, $2.03 per dilute share compared to $94.1 million or $0.96 per diluted share in the first nine months of last year. And our year-to-date results for the first nine months to 2010 (inaudible) impact of the previously reported non-cash deterred income tax benefit of $35.2 million which equates to $0.36 per diluted share related to a favorable development in Germany. As we previously reported in May of this year, we implemented a two-per-one stock split and all of the per share that I have discussed this morning has been computed on this post split basis. For the remainder of the year, we expect our segment profit and net income will continue to be significantly higher compared to 2010, as the favorable effect of our higher average selling prices will more than offset the impact of our higher anticipated production costs. That concludes my prepared remarks and at this point, we can open the call up for Q&A.
Operator: Thank you. Ladies and gentlemen (operator instructions). Your first question comes the line of David Begleiter from Deutsche Bank. Please proceed.
James Sheehan - Deutsche Bank: Hi, this is James Sheehan, in for David Begleiter. Just want to talk about pricing a little bit. Could you sort of give your understanding of the way pricing went in October? You didn’t fully implement the price increase that you had nominated in October. What was the reason for that? And also looking at the January pricing action how is that being received by customers in light of the global economic slowdown?
Steve Watson: I think the main point is that we expect prices to increase in the fourth quarter, whether its implemented in one time or in phases, we expect prices to be substantially higher in the fourth quarter than they were in the third quarter.
James Sheehan - Deutsche Bank: So that means you are in a contingent to implement the full October price increase in 2012?
Steve Watson: We will continue to increase our prices in the fourth quarter.
James Sheehan - Deutsche Bank: Okay. And word is you had an estimate for 2011 ore costs, and I guess you may still be in the midst negotiating 2012 ore costs. But do you have a sense for what the percentage increase might be in 2012?
Greg Swalwell: No, we are still just in very preliminary discussions with the ore suppliers. We’ve not made any final decisions of definitive terms, and so we are not able to give any quantification on what our ore overall production cost would be anticipated to increase in 2012. That said, we know that the talk out in the market and we are expecting significant increases in ore costs in 2012. One other – Brian question wanted to add a follow up.
Brian Christian: Just to give a little bit more clarification on the pricing. Price increases are implemented in difference phases depending on the kind of loose classification of customers. We customers that take price increases effective immediately based upon various different contracts with some our larger customers, and in some cases there is varying degrees of price protection in different markets of the world. We have different periods of time where we implement those price increases faster than others and then in some cases distributors and agents are in a separate classification as well. So when looking at the quarterly results, you are going see a little bit of noise in the analysis in terms of the actual implementation as that fluctuates throughout our quarter depending on those various classes of customers.
James Sheehan - Deutsche Bank: Okay, very helpful. And then one last question, just on your mix, that metrics has been unfavorable for the last three quarters or so. When would you expect mix to turn positive for you?
Steve Watson: Mix is really just sort of a catchall for the things that aren’t covered in the other three items that we list. So there can be a number of different factors involved in mix and we can’t predict when it’s going to go positive and be negative.
James Sheehan - Deutsche Bank: Okay. Thank you very much.
Operator: Your next question comes from the line of Trey Grooms from Stephens. Please proceed.
Trey Grooms – Stephens Inc: Hey, good morning. I guess my question is kind of go to the commentary of your kind of outlook to continue to increase margins despite the higher costs and so kind of looking at that – I mean do you – so you are basically saying that you think 4Q margins are going to be better that 3Q. Is that an accurate read?
Steve Watson: Yes, absolutely.
Trey Grooms – Stephens Inc: Okay. And then also kind of looking in ’12, I am assuming that that means that would be the case there as well on a year-over-year basis? You are anticipating that at this point?
Steve Watson: That is our expectation of going in. Obviously the thing that you and many others are looking at is that ore costs, we expect to go up very substantially as we have been talking about for well over a year we did offering. We’ve know that’s coming, we are very close to our ore suppliers. We fully understand that they need to get there selling price and their profit margins up to a level that justifies the expansions that they are actually currently in the process of doing, the significant expansion projects and development projects in the works. The key to that is that is the two industries are tied very close together. They are delighted that the TiO2 industry is having a good ride up, because that way they can hook their wagon to TiO2 and it pulls them along. But they also fully understand that there’s got to be capacity expansion TiO2 to justify expanding ore supplies. So we feel very good about not just about our relationships, but about the understanding that if the cost of ore got out of hands, it would choke down the potential of expanding TiO2 capacity which is the self fulfilling down for our down cycle for the ore guys. They understand that and they have – we do expect the significant increase but as we’ve mentioned, we do believe those increases will stay in check in order to allow the TiO2 industry to continue to expand the profit margins because we are still not in the level that I think very many people feel very comfortable about putting capacity, and the key is not the margin or the price at a given time but the expectation of sustainable levels. As we’ve said these are very long term processes of putting in major capacity, and they’d be foolish to start a project without a good expectation that your profit margins are going to support that expansion.
Trey Grooms – Stephens Inc: That all makes sense, and thank you for that. Also kind of your thoughts if you could, I know we are kind of entering a seasonally slower period at least for the coatings guys and paint guys. Can you kind of give us a little bit of direction on kind of where you are thinking on as far as volumes looking into this 4Q which granted is a seasonally slower period, but would you expect to see a kind of a flat-ish volume scenario year-over-year, down, up. Can you give us a little bit of direction there on where you see it today?
Greg Swalwell: That’s right. Since we are in the quarter, we really can’t give a whole lot of specifics on expectation for the quarter, but as you said and you are totally correct, the fourth quarter is generally our lowest volume quarter just for seasonality purposes and we would expect to see that when we end up reporting our fourth quarter results this year.
Trey Grooms – Stephens Inc: Okay. And – so we are not off the mark thinking that it’s – last year was – you didn’t have a whole lot of seasonality it didn’t seem, but we could probably expect to see that kind of return to a normal kind of seasonal pattern this year?
Steve Watson: We believe that’s correct. Not only – it’s kind of a double type of a situation because starting usually in the late fourth quarter, inventories are starting to be built in the western world know as paint season, which starts getting cranked up around February, on into march and then it runs for four or five months when it’s seasonally at normally high for the year. Historically, in order to service customers, inventories are built primarily from late fourth quarter into the first part of the first quarter in order to have ample supplies for the big surge that happens at that time. What we are seeing, it’s a little confusing out there, but what we are seeing doesn’t concern us that anything abnormal is happening. Last year effectively there was a very flat paint season as I am referring to it. So customers, especially in the paint coatings industries, have run with very low inventories. We expect that they will probably use up some of their inventories going to the end of the year. So in sum we are not seeing anything that’s alarming, that demand is falling off anymore than we would normally see in a regular seasonal adjustment. It is possible as we get to the end of the quarter that we may see some replenishing of inventories because we do know that there’s a tremendous number of customers that are running pretty low, their tank is pretty low on inventory in their warehouses. So that will play out probably towards the end of the fourth quarter and may be a little bit into January, just to keep their plans running but nothing – it does feel like we are getting back to the normal seasonality and cycles at this point.
Trey Grooms – Stephens Inc: Okay. Thanks a lot. And then a couple for Gregg. So where could we – you know the tax rate obviously quite a bit higher in the quarter, but kind of looking at the fourth quarter and kind of beyond. Should we kind expect that to get back to kind of a mid-thirties kind of range?
Kelly Luttmer: Trey, this is Kelly. I would actually expect for 2012, I would expect our rate to be more on the normal around the 35% rate. For the full year 2011, I would expect our full year rate to approximate what our Q3 year-to-date rate was. So somewhere 37.5% to 38% on a full year basis for 2011.
Trey Grooms – Stephens Inc: Okay. That’s helpful. I have got a few more, but I will jump back in queue and let some other guys in. Thanks.
Operator: Ladies and Gentlemen (operator instructions). Your next question comes from the line of Frank Mitsch from KRONOS. Please proceed.
Frank Mitsch – Wells Fargo Securities: Not 100% sure that the name of the company is correct, but …
Greg Swalwell: We were going to call our HR person down here. So …
Frank Mitsch – Wells Fargo Securities: Good to be aboard and I am looking forward to participating in the competition program you guys have. I just had a question regarding the sequential change in results, obviously sales were up $10 million sequentially, it had volumes off, but price was up, I don’t know; call it $45 million plus or minus foreign exchange. But the gross profit was up about $14 million. So where is delta there in terms of the $30 million or so between what you gained in price and then between what you increased in terms of gross profit?
Greg Swalwell: I am not sure I followed all the numbers that you were throwing out. Obviously we’ve had some continuation of higher production costs. I don’t think it’s $30 million. So – I’m sorry; I wasn’t following all your numbers.
Frank Mitsch – Wells Fargo Securities: Alright. Great, I mean if price was up about $45 million or so plus or minus foreign exchange sequentially, does that make sense?
Steve Watson: We don’t calculate the number that way. So we are – how do you get the $45 million?
Frank Mitsch – Wells Fargo Securities: It is about 10% price increase sequentially. Something like that?
Greg Swalwell: Well that’s from the end of the second quarter into the third quarter. So that isn’t necessarily equate to an average price. So if you are doing a 10% – that could be part of your …
Frank Mitsch – Wells Fargo Securities: So let me get it kind of another way. Did your raw material cost per kind of TiO2 significantly increase during the quarter? More so than it did in the second quarter? Or is there anything else incurred that had an impact on earnings?
Greg Swalwell: I don’t think it would have increased that significantly from the second to the third quarter. No.
Frank Mitsch – Wells Fargo Securities: Alright. Terrific, I will work offline with you guys on that, because I was just trying to understand why the price seems to be up so much, but yet the gross profit was only up about $14 million.
Greg Swalwell: Yeah. Okay.
Frank Mitsch – Wells Fargo Securities: Alright. Thank you.
Operator: Your next question comes from the line of Joe Stauff from Susquehanna. Please proceed. (Operator instructions).Okay, we are going to go ahead and move on to the next question. Hello Mr. Yang, your line is open.
Edward Yang – Oppenheimer & Co: Okay. I didn’t hear mine being introduced, but alright. Going back to a couple of points made earlier in the call, just on your guidance for margin increases. Someone asked earlier, would your margins be up from third quarter to fourth quarter and you said yes. But did you mean that sequentially or did you mean that year-over-year? Because typically it seems like your volumes are down about 10% to 15% sequentially. So usually your margins sequentially are lower.
Steve Watson: Well, I think I probably made that statement. So I believe what I am saying is that per unit, the profit margin on that are margin not on an aggregate basis. The aggregate basis is going to be dependent upon volume and obviously we won’t know that until we get through the quarter. We are not trying to push volume out there in any shape because I believe as I mentioned, I believe we are into a little bit more of a normal pattern than we’ve been in last couple of years. So we normally start building inventory in the fourth quarter. We expect our volumes to be lower, but that will play out toward the end of the quarter. It’s a very unusual situation this year than it’s ever been in history because in January and February customers will be facing another very significant price increase. That could change their buying pattern to some extent to try to buy ahead of the next price increase and we just won’t know that until the end of the quarter. If that happens, we’ll be judicious on how much we actually sell. We don’t want customers just building inventory to beat the next price increase, but as I mentioned, a lot of customers we believe are running very low on inventory and they really may need to buy at the end of this quarter. So it’s basically customer by customer. We don’t want them to build inventory just because of the price, but we do want to make sure they have ample supply to keep operating. So to answer your question directly as I did at the front end, we’re talking on a dollar margin basis rather than aggregate in that statement.
Edward Yang – Oppenheimer & Co.: Okay. Thank you, Steve. And second, John mentioned that – this question came up last quarter as well just on mix. It’s sort of a catch-all that’s – but I’d like to understand what that means because you’re talking about revenues. What else is there besides pricing, volume and currency? Would mix include things like customer discounts or what would be in that bucket?
John St. Wrba : It wouldn’t be customer discounts. There aren’t any customer discounts. It can be changes in volume sales to one customer at one price versus selling to another customer. So that is an actual customer mix. There is an actual product mix in there. How much you’re selling your particular product that may have a different price in volumes associated with that. Those are the obvious changes.
Greg Swalwell: And geography would also be a piece of it depending on what part of the world we’re selling the product in.
Edward Yang – Oppenheimer & Co.: Okay. And finally, just what are you seeing in terms of China? One of your competitors talked about pause in demand expected in the fourth quarter for China and more broadly speaking, are you seeing any evidence of destocking anywhere along the chain? A lot of chemical companies, not just in TiO2, saw some customer destocking in the third quarter.
John St. Wrba : Well, from a Chinese standpoint, we don’t sell a lot of material into China and what we do probably goes into distributors. We’re not seeing a lot of impact of exports out of China. They may be a little bit higher, but again it’s not anything that’s material in our view so that there’s no impact there. Destocking, I don’t know what our customers inventory levels are and I guess there could be some destocking, but there could be restocking towards the end of the year for January as they gear up for the paint season. So it’s hard to gauge month to month or quarter to quarter changes in inventory levels with our customers.
Edward Yang – Oppenheimer & Co.: So you haven’t seen any abnormal ordering patterns on your side?
Brian Christian : No. I think the destock – any destocking that we’ve seen and like John said, I think John’s right. It’s hard to categorize whether it’s true destocking. But I think we would categorize it as normal seasonal volume for the quarter in the time of year that we’re in. I think this is the normal pattern of what customers do. They probably destock a little bit at the end of the year and with the announced price increases out there, I think the industry has changed and realized that the price increases are coming on a more regular basis now. That could have some impact on behavior versus in comparison to last year when I think that they were still getting used to the price increases and maybe some people were trying to buy ahead. So maybe that’s why we didn’t see as much of the seasonal downturn last year. But I do think there’s been a little destocking going on and as Steve alluded to, at some point we anticipate that there’ll be restocking and whether that’s at the end of the fourth quarter, spills over into first quarter, I think we’ll have to wait and see. But like he also said, we don’t see anything that’s alarming at this point in time.
Steve Watson : Your initial question regarding China, we are hearing reports and our guys out in the field are hearing reports that there has been – we believe there has been somewhat of a tick up in exports out of China. But as we’ve noted many times before, things coming out of China generally are at the low end of the spectrum, virtually all of it is sulfate grades. There are some that are better than others, but for the most part those are going into lower exacting formulations and in the marketplace. We’re not seeing a significant increase, but we just hear periodic reports here and there. The China usage the same type of reports, they import their higher quality, especially the chloride grades and from the reports that we’re getting from the field, that doesn’t appear to be slowing. That appears to be, if anything probably growing in some stages. It’s very difficult to get exacting information on what’s coming and going from China, but so we’ve kind of used the hands-on empirical data out there and we’re just not seeing that slowing especially in the part of the markets that we play in. We’re not seeing it manifest itself, but we do hear some of these reports that there’s a little bit of shifting going on there.
Edward Yang – Oppenheimer & Co.: Okay. That’s helpful. Thank you.
Operator: (Operator instructions). Your next question comes from the line of Stuart Pulvirent from Merlin Securities. Please proceed.
Stuart Pulvirent – Merlin Securities: Good morning. Most of these questions have been answered, but I don’t know if we’ve talked about on the customer side. Obviously coming at them with price increases for that deserved, at least we’ll get some kind of push back to see – they all say they can pass this along to the consumer, but it seems that if paint demand really isn’t humming along even that high, then we still have a residential housing upturn hopefully in the future that you’re going to continue to have this sort of tightness around TiO2. So other than maybe substituting some of the Chinese product, have you seen anything else out of your customers and are they confident they can pass along price increase?
Steve Watson : I think we’ve – as we’ve looked at this from a very broad basis a year ago when we were selling stock and making presentations. I’m very happy to say that we totally blew the price curve. It’s been a lot steeper up than we were even mentioning and what we’re speculation there. This last year has been pretty phenomenal and we went through the period of customers just saying what are you doing? You guys can’t increase prices this much and of course they kept and everybody has increased prices. When we look at our customer base, there’s no question there’s a wide, wide range of input of TiO2 into the products. Coatings and the plastics probably second are the biggest users of TiO2 and probably the biggest percentage of the input cost and then it goes down very quickly after that to where TiO2 is just not a big percentage of input costs. So the idea that customers can either pass it through or absorb it or make up the difference on their margins in a different way is very real. It’s not a huge deal. No question, the coatings and plastics industry it’s a bigger hit, but the examples we’ve given in the past, an extra dollar a gallon on a can of paint. Yes, it’s big, but a dollar a gallon of paint is not going to – we do not believe it’s going to destroy their demand and that’s something that we’ve always been very conscious of. We don’t want to disrupt the customer base. We don’t want to create consolidation and we don’t want to destroy demand downstream. But my own personal feeling is we’re not even remotely close to that type of a phenomenon happening and the customers have accepted that they squeeze prices for a long period of time and they understand that the prices have to go up and more importantly, the margins and now that the oil prices are going up, those margins have to keep increasing and many of our customers – nobody likes price increases, but think for the most part our customer base, we’ve communicated with them openly all along. I think they fully understand that it’s going to continue for quite some time in order to basically get them out of a shorting situation on one of their key raw materials. So nobody likes it, but I think for the most part the consumers, downstream customers, they understand. They understand the need for it. They would prefer this – a lot of our customers won’t like this statement, but I think they’d prefer a higher price than a lack of availability.
Stuart Pulvirent – Merlin Securities: No, I agree and there’s some wide range of product you can buy in the market too, which means you spend $15 a gallon or just somebody’s got some specially paint that’s almost hundreds.
Steve Watson : Yeah. That $15, that’s a tin coat coverage on the wall and some of our customers, it’s one coat coverage. It has all to do with the TiO2 content, but if you dam down the TiO2 content, your paint is not going to cover very well.
Stuart Pulvirent – Merlin Securities: Right. I won’t do that. And so if you had – just to follow up one little more. If you had a nice ramp in volume because you had – existing home sales went up more and people were painting more and people have delayed this. Two weeks ago the world was coming to an end. Now of course everybody is thinking things are going to be better, but if you had that, what’s going to happen because it doesn’t seem – just looking at some of the producers, it doesn’t seem like anyone can really push a whole lot more production on TiO2 to accommodate a – if you had a 7% volume here in the US and Europe or 5%, can you meet that?
Brian Christian: I think we agree with what you’re saying is that any increase in demand that would come about from whatever sector is just going to exasperate the existing shortage.
Steve Watson : And the other point on that is that the housing industry is – I think it’s considered to have a lot bigger impact and in actuality it does. It’s really not the biggest driver, home starts and new housing and that type of thing. As we’ve seen, housing starts and builds out have been really low the last couple of years, but a lot of paint gets over housing. If nothing else, when foreclosures happen, that type of thing, about the first they do is they spiff up the house and they go paint it again. So we’ve seen – no question, there’s been a little bit of erratic demand and inside just the peer, our residential painting industry and that gives our customers a real fit because they – it’s been out of sync. The seasons have been kind of mixed up the last couple of years, but for the most part we’re not seeing that dramatic of a drop-off because housing is low. We do expect that if housing picks up, new housing starts, that there will be more demand, your very point and we do think that that will drive things even harder, but not to a magnitude that is going to create a major additional shortage. It will put tightness in it. The bottom end of the market will likely suffer the lack of availability more often. But we see that as basically the scenario that’s being played out.
Stuart Pulvirent – Merlin Securities: Great. Well, thanks for those explanations.
Operator: Your next question comes from the line of Danielle Ward from JPMorgan. Please proceed.
Danielle Ward – JPMorgan : Hi. I just have one question on your funding higher notes. Have you heard any thoughts – if you can share with us, on further potential repurchases or even a refi at some stage? That’s all I have for now.
Greg Swalwell: Yeah, as we’ve said we did take advantage of some trading in the market and just purchased the €40 million cumulatively. We’re going to continue to monitor that. We have the ability to force a call of redemption similar to the €80 million that we did earlier in the year. But I think our view is, given some of the unsettled nature of the European credit markets, we’re going to continue to monitor that and if the opportunity arises where we can buy additional notes at less than the redemption price or even less than par value which is what we’ve done today, we expect we’ll take advantage of that. And the note become due in 2013 and our expectation is that whatever principle is left on those notes sometime during 2012 we’re probably doing some kind of a refinancing. What that looks like and where that’s placed are decisions we’ve not yet made.
Danielle Ward – JPMorgan : Okay, that’s helpful. Thank you.
Operator: Your next question comes from the line of Jayanth Kandalam from Lucror Analytics. Please proceed.
Jayanth Kandalam – Lucror Analytics: Yes, hi. I just had a couple of questions; actually most of them have been answered. But if I may, I just wanted to know in terms of the volumes you said in your Q2 report that sales volumes were kind of affected by some shipping delays and some kind of a timing issue which probably should now get rectified in Q4. Now, considering that Q4 is seasonally a weaker period, how do you see this aspect playing out in Q4? Are we going to see some kind of sales volume increase on account of this timing thing is it going to pull ahead further?
Greg Swalwell: I think what we said was just – when you look at our volumes, whether they’re up a few thousand tons or down a few thousand tons on a quarter year-to-date basis, that’s pretty much consistent with our expectations is we just don’t think that our volumes are going to change that much, in part because we were pretty much tapped out on our production volume. So when you look at our year-to-date volumes and they’re down 1,000 tons, 1,000 or 2,000 metric tons, that’s really nothing of any concern to us and how that washes through in the fourth quarter is not something we’re really that concerned about.
Steve Watson : You are right on the point that we described in our filings that a lot of the foreign jurisdictions, there is a longer process because you’ve got to ship it further. The stuff ships very easy, low cost shipping, but the time lags sometimes happen and then also the credit. A lot of the regions that we sell into we actually require financial assurance put up. Sometimes they actually have to pay in advance before the ship even starts. So some of the paperwork and mechanics can flow from quarter to quarter and there’s no real way to tell until the very end of the quarter how much was – effectively we thought was sold in the quarter flops over into the first week or two of the next quarter. That happens every single quarter to more or less extent just depending on those variables that we don’t have total control over. But it’s usually a very short period. We’re talking two to three weeks usually from one quarter to the beginning of the next quarter.
Operator: And you have a follow up question from the line of Trey Grooms from Stephens. Please proceed.
Trey Grooms – Stephens Inc. : Hey guys, just a couple more. Can you update us on use of cash? You guys are going to be generating a lot of free cash. You’ve obviously taken advantage of some of the debt markets here and you kind of alluded that you could do that again going forward. But can you give us a little bit more color on kind of maybe even a longer term thought on use of the cash over the next few years?
Steve Watson : Well, that’s a good question. It’s a great issue to have in front of us, what we’re going to do with this big pile of cash. But as we’ve said we’re very shareholder minded. Price of the stock is one thing we intend to continue distributions to our shareholders and that’s our intent. Obviously every quarter the board of directors makes the decision on dividends. But we do believe that a good place to use some of the cash is in buying back some of these notes if we can get them at the right price, take down our debt. We can easily put in additional revolving type credit that we think at least for the foreseeable future would likely be a more suitable form of debt that you just use as a cushion of your cash flows coming in and going out. But from a standpoint of CapEx, we have some projects that we’re doing. They’re not huge dollar amounts but they’re things that they have incredibly quick paybacks. So we’ll spend some on that. It’s virtually impossible to determine what’s going on as far as any available capacity that may come out in the industry. We’ve always thought that there’s going to be some shifting of assets happening. They’re probably more appetite to that now that the industry is doing as well. If somebody wanted to be out of the industry, sell at the peak, they still probably got a couple of three years to go to get to the peak, but if they’re thinking that way they may start. So we keep our eyes open on that all the time, but it’s a nice problem to have is where are we going to put the excess cash that comes out? But that is pretty well it.
Trey Grooms – Stephens Inc. : Okay. And I’ve just got one more question and I’m not sure how much visibility you really have into this, but just wanted to get your opinion on – you mentioned that your customers, a lot of them, their tanks are kind of low, inventory kind of low right now. Just kind of looking forward with just kind of with that in mind, just generally speaking, how much inventory can your customers really handle? Is that something that they can really buy up a lot of when the time comes or is it something that they just can’t really physically handle a great deal of the TiO2 inventory?
John St. Wrba : It really depends on the customer. We know that some of our large slurry customers have limits on how much they can store because it’s got to be on rail lines and so they can only store so much. If you’re talking about in powder form, that’s going to be subject to each customer’s warehousing capability. So we don’t know. We would – the bigger restriction would be on whether or not we’ve got the material to sell to them and whether we’d want to do it all in that period of time. So that’s probably a bigger restriction.
Steve Watson : Yeah. I think we’re just – taking John’s comment there as I mentioned earlier is that we pride ourselves on having very good relationships with our customers and looking after their interests and we watch closely that one customer is not basically hoarding inventory and then we run out to supply some of our other customers. A lot of these relationships go back very, very long periods of time. So our strong desire is to supply whatever the customer needs and we’ve been off and on through the last couple of years on allocation where they just order so much but they can’t get all of it. They have to either find some more or scratch what they’ve got. But the ability for customers I think, ours and other producers, customers to basically build big inventories is really limited by availability of the product. There’s just not product out there to build huge inventories and in our case in particular, we don’t want them to do that to the jeopardizing another customer having the supply that they actually need.
Trey Grooms – Stephens Inc. : All right. Well, thank you very much for all the insight and good luck going forward.
Operator: You have a follow up question from the line of Jayanth Kandalam from Lucror Analytics. Please proceed.
Jayanth Kandalam – Lucror Analytics: Yes. I’m sorry my line was disrupted in between. But I just had one quick question. You talked about 2012, the ore cost significantly increases which probably you’re going to see. So considering that you had substantial pricing gains in 2011, do you think it will be feasible – looking from this point that you get significant price increases in 2012 as well as to cover up these cost increases?
Greg Swalwell: Yeah. I think it’s very feasible. I think at a very high level in short, I think we’ve seen a shortage here in 2011. We expect that demand will grow at a faster pace than the supply of TiO2 will on industry wide basis and I think that as Steve alluded to earlier, yeah, we don’t think we’re anywhere close to creating any demand disruption on our pricing level. We think that the ultimate end user can accept the price increases as they flow down the chain. So we would expect that we’ll be able to pass along our ore cost. Now having said that, we haven’t finished those negotiations and we don’t know exactly what those numbers are, but we think that the overall dynamics of the industry allow for the shortage to continue into 2012 and we should be able to pass along those costs.
Jayanth Kandalam – Lucror Analytics: Okay. So just as a follow up on this. So given the current issues around the US growth as well as European credit issues, do you think you’re actually seeing no kind of push backs from the end users in the paints and coatings side? I would expect there would be some bit of push back in terms of accepting price increases. So is there no kind of issue there?
Steve Watson : Basically we’re dealing with – the volume levels are not affecting the price levels. The prices have been – each quarter sequentially have been very significant increases and we expect that to continue on into next year and decreasing price does not increase volume on an aggregate basis. The volume is whatever it’s going to be and it’s not as price sensitive. Back years ago price was the driving common denominator for everything, but in the last year and we expect going into the next number of years, price of the TiO2 product is not going to drive the volumes. The demand is based on the need of the customers and what their downstream needs are. A very big factor on this as we’ve mentioned is, this is a very, very global market. TiO2 products are used worldwide. It’s an easy product to ship, low cost to ship. It packs very easily. So depending on where the demand is strongest, you may ship more product into some of the non-Western, non-European, non-US regions. So you can adjust where the demand is and no question in the US, the economy, especially if you read the papers a lot, I guess we’re in a huge depression. But we’re not seeing that. We’re just not seeing that the economy in the US or Europe and especially the rest of the world is as bad as the headlines are and the newspapers and on TV. We’re not seeing that. Is it bad? Yes, it’s bad, but it’s not so terrible and we’ve seen that. We feel like we’re very close to actually what happens out there in the real world economies and the demand has been very strong in the last two years when it sounds like the economies are just failing. So we see a huge disconnect between the news and what’s reality out there, but as the demand decreases, it doesn’t mean a price decrease. It just means a shifting of where you sell your product. There’s plenty of markets in the world and that’s why we talk about global demand so much is that we can easily, from our company, as most producers can, service virtually any place in the world fairly easily and at fairly low cost. So it’s not a specific region at all. We do feel the pain in US especially and Europe to some extent, but it’s not as bad as the – we don’t think it’s as bad as what the news out there is. But the key is is that you can ship regions very easily.
Jayanth Kandalam – Lucror Analytics: Okay, great. Thanks for the clarification. That’s all.
Operator: Your last question comes from the line of Andrew Lipman from T.A. McKay & Co. Please proceed.
Tom McKay – T.A. McKay & Co.: Thanks for taking my call. I was wondering – this is Tom McKay for Andy Lipman. I was wondering if you have any thoughts or comments on the recently announced transaction between Tronox and Exxaro.
Brian Christian: I think, our position would be that we’re not going to comment on that transaction, any questions you have about it I think you should direct them towards Tronox. Other than to say Exxaro is one of our ore suppliers and we don’t feel that the transaction is going to negatively impact our relations with Exxaro on the ore side.
Tom McKay – T.A. McKay & Co.: Okay, thanks.
Operator: Ladies and gentlemen, that concludes today’s conference. Thank you for your participation, you may now disconnect. Have a great day.